Operator: Greetings. And welcome to the Frequency Electronics First Quarter Fiscal 2026 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. Any statements made by the company during this conference call regarding the future constitute forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements inherently involve uncertainties that could cause actual results to differ materially from the forward-looking statements. Factors that would cause or contribute to such differences are included in the company's press releases and are further detailed in the company's periodic report filings with the Securities and Exchange Commission. By making these forward-looking statements, the company undertakes no obligation to update these statements for revisions or changes after the date of this conference call. It is now my pleasure to introduce your host, Thomas McClelland, President and Chief Executive Officer. 
Thomas McClelland: Thank you. Good afternoon. And thanks for joining the Frequency Electronics first quarter fiscal year 2026 earnings call. With me today is our Chief Financial Officer, Steven Bernstein. On our fourth quarter fiscal 2025 earnings call, in July, I told you that particularly strong execution allowed the company to produce revenue on certain programs in fiscal 2025, that we had originally expected to produce over a more extended period of time in fiscal 2025, 2026, and beyond. So while we do not provide guidance given the inherently lumpy nature of contract awards, and customer-driven activity, we did want to point out in July that the previous quarter, the highest revenue quarter in 25 years, should not be viewed as the near-term new normal. We anticipated instead that 2026 would look more like the first two quarters in fiscal 2025. This would have been the case but for customer-driven delays on a few key programs, that pushed revenue recognition out of the fiscal first quarter. Recall that the allocations for space and defense-related programs that were enacted by Congress were first finalized in early July, with only a few weeks left in the quarter, which created some late-quarter customer scrambling. Critically, this revenue will still be earned in the coming quarters, and predominantly in this current fiscal year. These are neither cancellations nor contract reductions. In fact, we expect at least one of these programs to be meaningfully increased in total contract value. Now that we are six weeks into this second fiscal quarter, I can clearly state that the issues we saw in the first quarter related to customer-led delays are now behind us, and we are making significant progress towards a bigger book of business. When we have a quarter like this, like this first one with lower revenue than recent trend levels, while we are still investing in growth for the future, we can see temporarily lower levels of profitability. But make no mistake. This is not your grandfather's Frequency Electronics, Inc. We have fundamentally transformed this business over the past few years to be a larger, more profitable, more cash-generative company that invests in the future and rewards shareholders for years to come. One indication of our future success is that our funded backlog remains at historically high levels. But we are also actively bidding on new programs and anticipate meaningful new business in the near term. Some of the programs we are bidding on are larger than the typical contract wins we have previously reported. Furthermore, these programs have significant follow-on potential over the next decade and beyond. Both space and non-space defense activity point to continued healthy growth in our core markets, both for our legacy products and our next-generation technology. Notable programs we are involved in include Golden Dome, Patriot missile system, B-2 bomber, and Terminal High Altitude Area Defense system or THAAD as well as other multi-domain defense systems. To support these markets, as well as our new initiatives in quantum sensing, the company recently opened an engineering facility in Boulder, Colorado, and hired senior scientists formerly with the National Institute of Standards and Technology, Time and Frequency Division. These physicists and others who are expected to join Frequency Electronics, Inc. at the Boulder facility in the near future will support ongoing company programs and new technology efforts. We expect that the Boulder facility will contribute positively to the bottom line by the third quarter of this fiscal year. In addition, as noted previously, pursuing external government funding for research and development, with significant activity underway particularly in the area of quantum sensing, which is a large emerging market for us. Building on the enthusiastic response and strong encouragement from last year, our company will host its second annual quantum sensing summit in New York City this October. This scientific conference will convene leaders from government, academia, industry, and other laboratories to explore emerging technologies, discuss strategies for realizing their full potential, and reinforce our nation's leadership in this critical field, as well as Frequency Electronics, Inc.'s expanding strategic role in advancing this technology. We are excited about the enthusiasm which has developed around this event. Additional details related to this event are available on the Frequency Electronics website. We have always been a quantum physics organization. Quantum is at the heart of atomic clocks that we have designed and produced for many years. This area of our business is robust and taking on more meaning in the position, navigation, and timing, high reliability security complex. And our solutions are critical elements of mission assurance and surveillance. What has changed over the past year or so is that our customers need quantum solutions, particularly in sensing, that are real and timely in order to deal with an increasingly tech-focused and conflicted global defense landscape. We are in a prime position to deliver solutions, given our technology expertise in defense, space, and quantum. Our opportunity set is not only the best we have seen, but we believe is also the best in our industry, and our relevancy is critical to the mission of the defense of our country and allied partners. Although this quarter showed a temporary decline in revenue and earnings, our strong fundamentals remain unchanged. We continue to generate profitability in our core technologies and are actively investing in innovation to drive long-term growth. With a debt-free balance sheet and the unwavering commitment of our talented workforce, we are confident in the company's continued strength and bright outlook. Our leadership and position, navigation, and timing has never been more paramount in the industry. Traditional customers as well as emerging leaders are engaging with Frequency Electronics, Inc., recognizing our unparalleled and growing technical leadership coupled with manufacturing expertise. We have also now proven our ability to execute complex contracts with greater speed and precision than industry norms. In recent years, we have returned cash to shareholders via two significant special dividends, while still investing in the business for future growth. Today, the company announced a $20 million authorization for the repurchase of shares, and we remain committed to both investing for the future and finding ways to return cash to shareholders. Please see today's 8-K for further information. Before I turn the call over to Steven Bernstein to discuss our financials in greater depth, I want to highlight an issue making global headlines that goes to the heart of our mission: the growing battle to protect time. As the Financial Times recently reported, the ultra-precise clocks that power GPS and other satellite systems are increasingly at risk, from wartime jamming and spoofing, to accidental outages and even potential attacks on satellites themselves. This is not just about navigation. Time is the invisible utility that keeps the world running. Financial markets, power grids, telecom networks, and emergency services all depend on precise, secure timing. Even a small disruption can ripple through critical infrastructure with serious consequences. In one recent case, suspected Russian GPS interference forced the European Commission president's plane to abandon satellite guidance and land in Bulgaria reportedly using paper maps. That is why governments worldwide are accelerating investments in resilient timing. The US has unveiled its most advanced atomic clock, the UK and France have pledged to strengthen infrastructure together, and Sweden is upgrading national timing systems to secure 5G communications. For Frequency Electronics, Inc., this is powerful validation. Our technologies in alternative PNT and quantum-enhanced timing are designed precisely to close these vulnerabilities. We are not just a supplier; we are a strategic partner helping ensure that our nation and our allies can rely on resilient, secure, and sovereign sources of time. In summary, we remain highly confident in our continued upward but not necessarily linear trajectory in our increasing strategic importance in the industry. We look forward to demonstrating this in the quarters and years to come. I will now turn the call over to Steven Bernstein, and I look forward to taking your questions a little bit later in the call. 
Steven Bernstein: Thank you, Tom. Good afternoon. For the three months ending July 31, 2025, consolidated revenue was $800,000 compared to $15.1 million for the same period of the prior fiscal year. The components of revenue are as follows: Revenue from commercial and US government satellite programs was approximately $6.5 million or 47% compared to $8.3 million or 55% the same period of the prior fiscal year. Revenues on satellite payroll contracts are recognized primarily under the percentage of completion method and are recorded only in the Frequency Electronics, Inc. New York segment. Revenues from non-space US government and DOD customers, which are reported both in the Frequency Electronics, Inc. New York and Frequency Electronics, Inc. Zypher segments, were $6.9 million compared to $6.3 million in the same period of the prior fiscal year and accounted for approximately 50% of consolidated revenues compared to 42% for the prior fiscal year. Other commercial and industrial revenues were approximately $439,000 compared to approximately $544,000 in the prior fiscal year. The revenue for the three months ending July 31, 2025, is lower than expected due largely to several externally imposed program delays which halted work on the affected programs. Importantly, these delays are not expected to result in overall program revenue reductions, and the revenue shortfall from 2026 is expected to be made up in the upcoming quarters, predominantly in this fiscal year. For the three months ending July 31, 2025, both gross margin and gross margin rate decreased compared to the same period in the prior fiscal year. The decrease in gross margin was primarily due to the decrease in revenue, and the decrease in gross margin rate was attributable to quarterly fluctuations in the mix of business activity between higher margin programs and lower margin programs. As we have stated in the past, gross margin on the manufacture of existing products is generally high, whereas gross margin on development efforts and new products is typically lower. For the three months ending July 31, 2025, selling, general, and administrative expenses were approximately 26% and 19%, respectively, of consolidated revenue. The increase in SG&A expense during this three months ending July 31, 2025, was primarily related to one-time expenses related to investments in the future growth of the company, including expansion into Colorado and Quantum Sensing, and an increase in payroll-related expenses. R&D expense for the three months ending July 31, 2025, decreased approximately $1.1 million from $1.5 million for the three months ending July 31, a decrease of approximately $400,000, and were approximately 8% and 10%, respectively, of consolidated revenue. Fluctuation in R&D expenditures will occur in some periods due to current operational needs supporting ongoing programs. The company plans to continue to invest in R&D in the future to keep its products at the state of the art. For the three months ended July 31, 2025, the company recorded operating income of approximately $364,000 compared to an operating income of approximately $2.4 million in the prior fiscal year. Operating income decreased due to lower revenue and gross margin as previously mentioned. Other income expense net is derived from various sources. The majority of the approximately $200,000 investment income for the three months ending July 31, 2025, was from interest income and unrealized gains on assets held in the Frequency Electronics Deferred Com Trust. This yields a pretax income of approximately $556,000 for the three months ending July 31, 2025, compared to an approximately $2.6 million pretax income for the three months ending July 31, 2024. For the three months ending July 31, 2025, the company reported a tax benefit of $77,000 compared to a tax provision of $133,000 for the same period of the prior fiscal year. Consolidated net income for the three months ending July 31, 2025, was approximately $634,000 or 7¢ per share compared to approximately $2.4 million or 25¢ per share for the same period of the prior fiscal year. Our fully funded backlog at the end of July 2025 was $71 million compared to approximately $70 million for the previous fiscal year ended April 30, 2025. The company's balance sheet continues to reflect a strong working capital position of approximately $30 million at July 31, 2025, and a current ratio of approximately 2.3 to one. Additionally, the company is debt-free. The company believes that its liquidity is adequate to meet its operating and investing needs for the next twelve months and the foreseeable future. I will now turn the call back to Thomas McClelland, and we look forward to your questions shortly. 
Thomas McClelland: Thanks, Steve. I think we are now prepared to take questions.
Operator: Thank you. At this time, we will be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Once again, please press star 1 on your phone at this time if you wish to ask a question. Please hold while we poll for questions. And the first question today is coming from George Marema from Pareto Ventures. George, your line is live.
George Marema: Yeah. Hi. Thanks, Tom. Back in the beginning of the year, this last winter, you kind of outlined some of your various clock technologies, including the rubidium vapor clock, the mercury ion clock, you know, of course, quantum and the NV diamond magnetometer. And you kind of gave some timelines on that. I just wonder if I can get an update on sort of the progress on these, the productization of these things, and sort of, like, an updated timeline on when these might be converted to actual product. 
Thomas McClelland: Okay. Well, keep in mind that we have atomic clocks that are available off the shelf at this time, and, in fact, we are actively producing. In particular, we have a satellite-grade state-of-the-art GPS atomic clock for GNSS satellite systems that we are actively producing. But to address some of the more advanced things that we are working on, in particular, as you stated, we are working on mercury ion atomic clock, and we are actually beginning to produce prototypes at this point in time in collaboration with the Jet Propulsion Laboratory, and we anticipate that this will be ready for low-rate production in another year or so. We are also, as you stated, working on various magnetometer technologies. This is primarily to support a very important field at this point in time, which is alternate navigation sources that are completely independent of GPS and related satellite navigation systems. We have externally supported programs to develop this technology, in particular, NV Diamond magnetometer technology. And we anticipate by the middle of next calendar year to have prototypes available to support testing done by some of our potential customers. And roughly a year after that, we are anticipating that we will have next-generation higher performance devices available. Let me leave it at that. 
George Marema: Okay. And I had one more question, which is kind of a two-part question about quantum sensing. The first one is just sort of a general update on where we are on the space application. But and I know you guys focus on space application. But I was wondering, there seems to be some emerging research on how quantum sensing can also be used in other areas like quantum computing, for example. Has there been any thought, discussion, or interest in applying your technology to anything outside of space? 
Thomas McClelland: Yeah. So you know, quantum computing does not necessarily exclude space. So the space, you know, it is not like those are opposites. Space and quantum computing. But, certainly, we also do not need to do quantum computing in space. I think that at this point in time, we are not investing directly in quantum computing. But a lot of the technologies that we are working on potentially have applications in quantum computing. And I think that our approach is that quantum computing is a very tricky kind of business. I think everybody realizes it is not ready for prime time right now. And there are an awful lot of people working on it. And instead, we are focusing on some aspects of quantum sensing that it is very clear that we can make a contribution very quickly in the near future. At the same time, I think we are aware of what is going on in quantum computing. And we are trying to put together a workforce that is part of the reason for our investment in the Colorado facility. So that we put together an engineering team with the kind of expertise that can potentially contribute to quantum computing in the future.
George Marema: Well, thank you, Tom, for your outstanding leadership. Appreciate it.
Operator: Thank you. And once again, as a reminder, that will be star one on your phone at this time if there were any other questions. Star one if you wish to ask a question. And there were no other questions from the lines at this time. I will now hand the call back to Thomas McClelland for closing remarks.
Thomas McClelland: Okay. Well, I would like to thank everybody for taking the time to listen and to participate in today's earnings call. We look forward to providing further updates in the coming months. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.